Operator: Good day, and welcome to the Inotiv Third Quarter Fiscal 2025 Earnings Call. [Operator Instructions] Please be advised today's program is being recorded. It is now my pleasure to turn the program over to Steve Halper of Life Science. You may begin.
Mr. Steven Halper: Thank you, Aaron, and good afternoon, everyone. Thank you for joining today's quarterly call with Inotiv's management team. Before we begin, I'd like to remind everyone that some of the statements that management will make on this call are considered forward-looking statements, including statements about the company's future operating and financial results and plans. Such statements are subject to risks and uncertainties that could cause actual performance or achievements to be materially different from those projected. Any such statements represent management's expectations as of today's date. You should not place undue reliance on these forward-looking statements, and the company does not undertake any obligation to update or revise forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to the company's SEC filings for further guidance on this matter, including risks and uncertainties that could cause results to differ from forward-looking statements. Management will also discuss certain non-GAAP financial measures in an effort to provide additional information for investors. Definitions of these non-GAAP measures and reconciliations to the most comparable GAAP measures are included in the company's current and previous earnings releases, which has been posted to the Investors section of the company's website, www.inotiv.com, and is also available in the Form 8-K filed with the Securities and Exchange Commission. If you haven't obtained a copy of today's press release yet, you can do so by going to the Investors section of Inotiv's website. Joining us from the company this afternoon are Bob Leasure, President and Chief Executive Officer; and Beth Taylor, Chief Financial Officer. John Sagartz, Chief Strategy Officer, will join us for the question-and-answer portion of the call. Bob will begin with some opening remarks, after which Beth will present a summary of the company's financial results for our third fiscal quarter of 2025, and then we'll open the call for questions. It is now my pleasure to turn the call over to Bob Leasure, CEO. Bob, please go ahead.
Robert W. Leasure: Thank you, Steve, and good afternoon, everyone. During the third quarter, we made some announcements and saw some continuation of positive trends, which we could be very meaningful for our business going forward. On May 29, 2025, during our in-person Investor Day, we addressed in more detail our view of the critical issues facing our industry such as tariffs, NIH funding and the recent comments from the FDA related to new approach methodologies or NAMs. We also outlined our progress over the last 8 years as we have built our business and a more recent focus over the last 2 years on integration and optimization. And then we outlined our goals to improve our cash flow and margins. On June 2, 2025, we were informed by the SEC's division of enforcement that it concluded its investigation, which began in May of 2023 related to importation of nonhuman primates from Asia. Based on the information available to the division as of the date of its letter, the division does not intend to recommend an enforcement action by the SEC against Inotiv. As noted in our earnings release that just went out, based on current negotiations with the plaintiffs and the outstanding securities class action and shareholders' derivative lawsuits, we recorded a $10 million accrual for these lawsuits as of June 30, 2025, as well as a $10 million receivable due to the fact that we currently expect to recover the full amount of the accrual under our existing insurance policies. However, we must still reach a final agreement on the terms of any settlement and actual amounts may change. We will provide additional information once we have material updates to share. In June, we received updated ALAC accreditation for our NHP facilities in Texas. All of our RMS animal production facilities are currently ALAC accredited. So this by itself is not particularly noteworthy. However, what we are extremely proud of is that both NHP facilities in Texas received accreditation and were noted for having an exemplary program of laboratory animal care and use. This is a testament not only to the commitment of our people, but also the benefit of the investments we have made that have substantially improve these facilities and the welfare of our animal model business. We look forward to continuing to strive for the high standards as we invest in our facilities. Now moving on to the quarterly results. We are pleased with the quarterly results. We are seeing signs that demonstrate the potential to increase DSA awards and improve overall revenue, margins and adjusted EBITDA. For the third quarter of fiscal 2025, we saw a year-over-year revenue increase of 23.5%. The total revenue was $130.7 million compared to $105.8 million in the third quarter of fiscal 2024 and $124.3 million in Q2 of fiscal 2025. Consolidated revenue for the quarter was the strongest since Q1 of fiscal 2024. The year-over-year revenue increase was mainly due to an increase in RMS segment revenue of $21 million or 34.1% improvement over the prior year quarter and an increase in DSA segment revenue of $3.9 million or an 8.9% increase over the same period in fiscal 2024. Consolidated net loss for the quarter was $17.6 million compared to $26.1 million in the third quarter of fiscal 2024. Our EBITDA for the quarter was $11.6 million compared to $0.1 million in Q3 of fiscal 2024. Adjusted EBITDA for the quarter was the strongest since Q4 of fiscal 2023. Q3 fiscal year 2025, DSA operating margins improved 4.6% over the Q2 fiscal year '25, but were still 0.8% lower compared to Q3 of 2024. We previously noted we had a deterioration of DSA operating margins during the second quarter of fiscal 2025, and we were pleased to see these margins improve during the fiscal third quarter. We believe the DSA operating margins have been impacted in fiscal year 2025 from the pricing pressure we faced in fiscal year 2024 that continued through the first part of fiscal 2025. Margin improvements are critical to achieving our adjusted EBITDA goals. Some of the improvements in the third quarter of fiscal '25 were due to improved pricing and scale as we grew revenue while working to control costs, and we'll continue to focus on improving these margins in the future. RMS operating margins for Q3 fiscal year 2025 were 19.8% higher than the prior year quarter. However, margins were 6.7% lower compared to Q2 fiscal year '25, which included a $7.6 million of operating income from a litigation settlement agreement. If we excluded that $7.6 million litigation settlement from Q2 of fiscal year 2025, our RMS operating margins in Q3 fiscal year 2025 were the strongest operating margins we have seen since Q1 fiscal year 2024. We believe we have further opportunity to drive margins higher as we complete the next phase of the RMS site optimization plan, which we announced in December of 2024. As we stated last quarter, -- we now anticipate net annual savings of $6 million to $7 million on capital investments of approximately $6.5 million. To date, we have spent approximately $0.3 million net of tenant allowances related to this capital investment. In connection with our revised optimization plan, we have 2 properties under contract to be sold. We closed on the sale of one property in June, and the net proceeds were used to repay principal on our term loans. The second property is expected to close during Q4 of fiscal year 2025. This optimization plan is still on track to be completed by March of 2026. As with previous projects we have executed in the RMS segment, these additional investments are intended to help modernize our existing footprint while allowing us to close older facilities. The revised plan will reduce capacity and should create operating efficiencies while continuing our efforts to support our animal welfare objectives. Additionally, we believe this plan allows us to remain agile and increase capacity in the future if needed. We also continue to integrate and improve our North American transportation and distribution systems, which we brought in-house in the first half of fiscal 2024. We followed up last quarter's year-over-year increase in net DSA awards of 27% with a year-over-year Q3 increase in net DSA awards of 25%. We saw the most significant awards growth in our Discovery business and the Safety Assessment services, which we expanded and started up over the last 2 years, such as the biotherapeutics, medical device services and genetic toxicology. For the quarter, the Discovery awards increased 31.3% over the same period a year ago. For all of DSA, we saw a positive quarterly net book- to-bill of 1.07x and a year-to-date book-to-bill now is 1.03x. We are pleased with the fiscal 2025 third quarter results, which we believe demonstrate our ability to identify opportunities and implement action plans to improve revenue and margins. We remain confident about our ability to continue to show improvement in our financial performance as we prepare for fiscal years 2026 and 2027, while we simultaneously also focus on client satisfaction metrics, continue to integrate our services and enhance our speed and delivery. We continue to evolve as a company. The 14 companies we acquired from 2018 to 2022 have now been working together for 3 or 4 years. We have gone from being a handful of different entities to a fully integrated nonclinical drug discovery and development company, which has recruited and developed significant scientific strength. Examples of some of these changes include a more optimized facility footprint, where we have 30% fewer sites compared to three years ago, providing a much better client experience and operating more efficiently and cost effectively. While we've reduced our sites by the 30%, we have more than doubled the number of licensed veterinarians we have on staff, significantly increasing the critical animal welfare staffing per facility. We have integrated and improved our systems to now have 34% less software platforms. This is inherently more efficient and cost-effective domain, plus we've invested in improved platforms, which provide much better data and improved ability to communicate both internally and with our clients. Over the last 4 years, while we focus on integrating our services, we've also been strengthening our scientific group. As an example, we have more than doubled our board-certified veterinary pathologists as well as our pathology support team. We have improved our capacity, expanded our services and increased our scientific strength. We have also grown our sales team to help expand our sales and customer base. I believe we are just now beginning to see the benefits of these changes. We continue to seek improvement and believe we can be agile and evolve as the market and science such as NAMS continue to evolve. While we have implemented and continue to implement strategies that we believe will address our cash flow and business model, we also recognize the importance of improving our balance sheet. We recognize that our first lien term loan matures in November of 2026 with our convertible debt maturing in October of 2027. Our lenders and convert holders have been very important partners to us and have been very supportive through some very challenging times over the last 3 years, and we look forward to continuing to work with them in the future. While we are not providing any specific guidance at this time, we are prioritizing a strategic review of our balance sheet and capital structure, and our plan is to hire a third party to assist us with this process. We'll provide more information at the appropriate time. Before I close and turn it over to Beth, we want to recognize and acknowledge that this has been nice to see this increased sales and net awards over the past 2 quarters, and we've seen these trends continue through the first month of this current quarter. However, we are coming off some very weak numbers from a year ago and the geopolitical and macroeconomic conditions, risk and uncertainties are likely to remain with us and with the industry for the foreseeable future. We are cautiously optimistic with the keyword being cautious. Despite whatever challenges we face, we remain committed to building a business that will create value for our clients, employees and our shareholders and look forward to a bright future. Our leadership team has not only been resilient, but it has gotten stronger as we have worked through these changes in challenging times. We want everyone on our team and everyone who's been part of this company to know how much they are appreciated as the journey has required some sacrifices and everyone has been asked to put forth extraordinary efforts with their trust, time and talents to help us build this company. I'll now hand things over to Beth to provide the financial overview.
Beth A. Taylor: Thank you, Bob, and good afternoon, everyone. For the third quarter of fiscal 2025, total revenue was $130.7 million compared to $105.8 million in the third quarter of fiscal 2024. This was a $24.9 million or 23.5% increase in revenue from the prior year quarter, primarily driven by increased NHP revenue within our RMS segment. DSA revenue in the fiscal 2025 third quarter was $48.2 million compared to $44.2 million in Q3 fiscal year 2024. The year-over-year increase in DSA revenue was primarily driven by an increase in general toxicology services as well as an increase in biotherapeutic services and medical device services. Overall, net new DSA awards this quarter were $50.4 million, a 13% increase over Q2 of fiscal 2025 and a 25% increase over Q3 of fiscal 2024. We have also seen strong quoting and awards for the month of July, which has been a good start to our last fiscal quarter of 2025. The backlog conversion rate in the third quarter of fiscal 2025 was 35.5%, up from 31% in the prior year period. The DSA cancellations and negative change orders in the third quarter of fiscal 2025 were approximately 31% higher compared to the prior year third quarter. Cancellations in the trailing 12-month period were approximately 2% more than the prior trailing 12-month period. RMS revenue for the third quarter of fiscal 2025 of $82.5 million increased $21 million or 34.1% compared to Q3 fiscal year 2024. The increase in RMS revenue was primarily due to higher NHP volumes sold and higher average selling prices for NHPs compared to the prior year quarter. The overall operating loss for the third quarter of fiscal 2025 decreased $15.1 million from $20.8 million in the third quarter of fiscal 2024 to $5.7 million in Q3 of fiscal 2025, primarily due to the $24.9 million increase in revenue previously mentioned and decreased operating expenses, primarily offset by increased cost of revenue. The increase in cost of revenue primarily relates to increased costs associated with the increased NHP-related product and service revenue previously discussed. Consolidated net loss attributable to common shareholders in the third quarter of fiscal 2025 totaled $17.6 million or a $0.51 loss per diluted share. This is compared to consolidated net loss attributable to common shareholders of $26.1 million or a $1 loss per diluted share in the third quarter of fiscal 2024. For the third quarter of 2025, adjusted EBITDA was $11.6 million or 8.9% of total revenue compared to $0.1 million or 0.1% of total revenue for the third quarter of 2024. Non-GAAP operating income for our DSA segment in the third quarter was $7.2 million or 5.5% of total revenue compared to $5 million or 4% of total revenue in the second quarter of fiscal 2025 and $7.8 million or 7.4% of total revenue in the last fiscal year's third quarter. As Bob mentioned, we continue to be focused on our DSA margins, and we expect to see improvement in future quarters. As we experience an increase in Discovery service revenue and continue to fill the added capacity and services we have developed over the last 18 months, we believe we will see margin improvement through operating leverage. In addition, we are seeing a much more stable pricing environment across our DSA services. The book-to-bill ratio for DSA in the third quarter of fiscal 2025 was 1.07x: 1. Our trailing 12-month book-to-bill was 0.97x:1. DSA backlog was $134.3 million at June 30, 2025, compared to $130.8 million at March 31, 2025, and $139.4 million at June 30, 2024. In our RMS segment, non-GAAP operating income in the third quarter of fiscal 2025 was $16.9 million or 12.9% of total revenue compared to $15.6 million or 12.5% of total revenue in the second quarter of fiscal 2025 and $6.5 million or 6.2% of total revenue in the third quarter of fiscal 2024. Interest expense in Q3 of fiscal 2025 increased to $13.6 million from $12.1 million in the third fiscal quarter of 2024, primarily due to PIK interest incurred in relation to the second lien notes issued in September 2024. Our balance sheet as of June 30, 2025, included $6.2 million in cash and cash equivalents as compared to $21.4 million on September 30, 2024. The primary uses of cash during the first 9 months of fiscal 2025 were negative working capital of $19.2 million as we increased NHP inventory based on timing of imports and $5.6 million of cash used in consolidated operations. In the third quarter of fiscal 2025, we saw significant fluctuations in our working capital based on the timing of NHP purchases and when we get paid for sales of NHPs by our clients. The company has utilized and will continue to utilize its revolving credit facility during the normal course of business as needed. As of June 30, 2025, the company had access to the $15 million revolver, which had no balance outstanding. Recently, the company has requested a draw of $3 million on its revolving credit facility. Total debt net of debt issuance costs as of June 30, 2025, was $396.5 million compared to $393.3 million on September 30, 2024. This includes $114.8 million of convertible notes as of June 30, 2025, and our second lien notes of $21.8 million. Cash used in operating activities was $24.8 million for the 9 months ended June 30, 2025, compared to $14.4 million of cash used in operating activities for the 9 months ended June 30, 2024. Capital expenditures in the third quarter of fiscal 2025 were $4 million or approximately 3.1% of total revenue. The third quarter of fiscal 2024 capital expenditures were $4.4 million or 4.2% of revenue. We continue to expect our annual capital spend for fiscal 2025 to be less than 4% of revenue. We have not provided formal financial guidance for fiscal 2025. While we continue to feel positive about the progress we have made in recent quarters, we are not providing formal fiscal 2025 guidance at this time. As we have stated previously, we hope to resume providing guidance once we have greater clarity on the market and client demand and clarity on any impact to our business once there is more information on tariffs. Our current operating plan forecasts compliance with the updated covenants under our latest amendment to the credit agreement entered into in September 2024. And with that financial overview, we will turn the call over to our operator for questions.
Operator: [Operator Instructions] And we will take our first question from Matt Hewitt with Craig-Hallum Capital Group.
Matthew Gregory Hewitt: Congratulations on the progress. Maybe first up, it sounds like your cancellations or negative change orders are still a little bit elevated. Is it your expectation that you could start to see that decline as we get into the back half of the year, maybe into fiscal year '26? Or how are you thinking about that metric?
Robert W. Leasure: Well, I can't predict what's going to happen. But yes, they were elevated this past quarter. For the year, they're only up 2%, but the last quarter was a fairly big quarter of cancellations for us. So as you can probably figure out our book-to-bill on a gross basis was extremely large. And you take that book-to-bill on top of the increased sales we had, the 8% increase in sales we had and you take the cancellations, it was a very, very strong quarter for new bookings. I think we just have to -- we have to plan for cancellations to continue to be high. If they're not, that's great. But as a result, that means we need to have a higher gross book-to-bill and prepare for that. I think we have done a much better job over the last year, expecting that. And I think last quarter demonstrates now that if we -- if that's going to be a new normal for a while to have cancellations, I mean, our gross bookings and expectations for gross bookings have to go up. That's why we increased our sales force, increased our sales team. And right now, I think our organization is doing a good job of managing through that. However, as we've talked in the past, we sometimes get cancellations that can be 1 or 2 that can be fairly big because of the size of our company. So last quarter was pretty significant. This quarter looks to me like it right now, it started off much better, but we'll wait and see how that goes. But yes, I think we just got to prep -- that's a new normal and sell through it. We can't change it. We need to prepare for it.
Matthew Gregory Hewitt: Well, obviously, yes, your sales team is doing a phenomenal job if they're more than covering that. Maybe second would be what's up next for your site optimization? You've obviously made some significant progress on the checklist there. And I'm just curious, as you look at Q4, but more importantly, at fiscal '26, what's next on the site optimization side?
Robert W. Leasure: Well, I'd like to see less, and we have been trying to focus less on brick-and-mortar changes and more in some fine-tuning of what we have. So we have these 3 or 4 facilities we're moving now and one that we're significantly improving. That will be significant. We'll continue to improve our facilities in Dallas, Texas. as we increase the -- some of the service work we do down there that is increasing demand that we probably increase those facilities. And then right now, what we're looking at is how do we fine-tune the facilities that we have, relocating some work without moving brick-and-mortar, but relocating work and how do we do a better job for our client, serving our client, how do we open up additional capacity. So it's one thing that we -- when you're making these macro changes, and now I like to really focus on some of the smaller changes that are very significant. And how do we get more capacity out of existing facilities. And so before we get back into the brick- and-mortar game right now, I don't think we have any more significantly old facilities to close. This is the last big one, but I do think we have a lot of tweaks we can make in order to improve upon the existing facilities that we do have, and that will be the focus.
Operator: And we can take our next question from Dave Windley with Jefferies.
David Howard Windley: I wondered, first, Bob, if you could talk about the mix of bookings that you're seeing relative to your book of business. You've called out new services added a couple of quarters, maybe more quarters about momentum in biotherapeutics and medical device was another call out today. Are the bookings even more overweighted in those new service directions than the current revenue?
Robert W. Leasure: Yes. We've seen bookings yet and the revenue is yet to catch up with some of the bookings that we recorded last quarter. But we had seen over the last 2 quarters prior to that, we've seen a beginning a significant increase kind of started last -- in our first fiscal Q1 in Discovery, kind of continued into Q2, and then it really ballooned quite a bit into Q3. So Discovery being up 31%, 32% year-over- year is very big for us. Those -- because Discovery is probably our most fixed cost business. And that has really significant impact on our ability to create margins and create money to the bottom line. It's also an area where we had expanded some of the services. We brought in some scientific talent we're very pleased with. And we developed and put in place -- really started developing a new sales team there, I would say, in December of 23. So it's been about 18 months. So to see them really come together and sell and really win new accounts and then see increasing sales from existing accounts has been very, very rewarding. And I think they're feeling very good about the momentum that they have. But it's not just Safety Assessment. Our Safety Assessment capacity has stayed fairly full. We may see some benefit from Safety Assessment from pricing, but we don't have a lot of room. We've stayed at 85% in terms of a lot of our Safety Assessment capacity. So a lot of this is in niche and scientific areas.
David Howard Windley: Got it. Shifting to NHPs. Your competitor and you have announced today a conclusion of this DOJ investigation Obviously, that's good news to put that behind you to put a kind of a turnnket on the legal costs that you were incurring. I want to understand better what your freedom of movement is with NHP. So can -- are you now free to import from Cambodia broadly speaking? And then secondary question to that, how do you believe that any changes, depending your answer to my question, but any changes to the market and market pricing that will cause as a result of these changes?
Robert W. Leasure: First of all, the DOJ issues for us, I think, were resolved several quarters ago, and U.S. Fish and Wildlife is -- and the DOJ have never told us we cannot import from Cambodia. As a matter of fact, just the opposite. They told us that we are free to import from Cambodia, and we haven't for the last 2 or 3 quarters. We have not imported from Cambodia. But that also is somewhat not only up to the -- to our U.S. government, it's also up to the Cambodian government. So -- and we have other good Asian supplies right now. So we do work with people in Cambodia and along with many other countries. If we see the opportunity that we can safely import at a fair price, that obviously is something we're going to consider. That has not transpired yet. We have not done that. I'm not aware of anybody that's done that. But I'm not aware of anybody prohibiting in the U.S. are prohibiting the use of imports. There may be that's something Cambodia is -- also has a say in though. So right now, I don't believe that we have any plans to change that in the next quarter. But those conversations and those site visits take place frequently throughout the months and throughout the quarters. And that could always change. So -- but right now, I don't -- I think we have plenty of ability to meet the demand, and we'll keep that option open, hopefully.
David Howard Windley: So on the price point, the -- I mean, COGS is still a little elevated in NHP-related activities. But I mean, yours may not have changed, but Charles River situation definitely changed. they have inventory that is freed up. I think that inventory might have aged out of its usefulness. But seemingly, there's more inventory available than less. And I'm wondering how that impacts price going forward.
Robert W. Leasure: Well, I can't comment on Charles River, obviously. As far as pricing, we've not seen pricing really change much in the last year. Fortunately, it's calmed down. We've not seen price cost or pricing change much in the U.S. And I'm not -- we keep track of what is in the U.S. from the USDA and the other government statistics. And I've not seen a large increase and amount of NHPs available in the U.S. So I think for right now, it looks like things are staying pretty stable. And I don't see -- unless Cambodia does open and they change pricing and Cambodia chooses how they export, I'm not sure that we see it changing next year. So there are a lot of factors that go in there. I'm not going to get all of them to -- on this call. But right now, we don't see a change in pricing.
Beth A. Taylor: Before our next question, we do have a correction to our cash used in operating activities for the 9 months ended June 30, 2024. I read this as $14.4 million, but it was $4.4 million. So operator, please continue.
Operator: [Operator Instructions] And we can move next to Frank Takkinen with Lake Street Capital Markets.
Frank James Takkinen: I was hoping to follow up on some of the Discovery commentary. Obviously, you just mentioned that's your largest fixed cost business. I was hoping you could help maybe put some metrics around what incremental growth in that business would translate to from an EBITDA perspective. I realize you're not providing forward EBITDA commentary at this point, but just kind of understanding just how much leverage is in that business as some of the strong orders you've seen start to translate to revenue.
Robert W. Leasure: Yes. So let me go back in. We saw a strong increase, but it's not back to the levels it was 2 or 3 years ago. So -- and it's -- this had pretty dramatic impact on our margins and our bottom line when we saw those series deteriorate. So we're now getting back very quickly, I should say, if we can continue this growth to the levels we were 2 or 3 years ago. But in terms of -- if you were to say Safety Assessment, you have incremental bottom line -- it goes to the bottom line of 50% to a variable contribution of 50% to 60%. And in the Discovery, because of the fixed cost nature, we could see incremental bottom line be as high as 70% to 80%.
Frank James Takkinen: Got it. That's helpful. And then I think we've talked about kind of some of the metrics you have recently started tracking around kind of customer satisfaction, on-time delivery of services. Can you maybe recap some of those metrics for the most recent quarter and the importance of just that and how it translates to new business awards from those customers?
Robert W. Leasure: Well, during the Investor Day, I think we alluded to some of these. And one of the great advantages of having a lot of new and improved systems is we have very much better metrics. And so I think we talked about this a little bit. When we had in Investor Day is that when we first started together, we had 14 sites that were operating as 14 individual sites. And many times, we have now customers who are using multiple sites, 3, 4 sites. I think 60%, 70% of our customer base may use multiple sites. So that's -- you check that you and Brendan there, if you could check that number for me, what -- because I know we talked about that during the Investor Day. One of the things that's important to us is though if we -- how do we act like one company. And if they're going to use multiple sites, how do we make that seamless for them so they're getting the one company experience, feel like they're working with 3 companies. And then when we do that, how do we communicate internally and then how do we make sure we deliver that on time. So first of the systems, we had to develop the systems to be able to track this, to communicate it and then be able to track it. So now when we did -- when we were growing 3 years ago, we could grow, but we didn't have the sophistication in the pricing systems, the management systems and the on-time delivery. Now we have that. And so when we're seeing growth now, I continue to focus on this because I think one of the mistakes we made 3 years ago is we grew very quick, but it didn't mean we are always meeting our customer expectations. And we didn't have a way to track that as scientifically as we do today. And we didn't have a way to price it as scientifically as we do today. And so those are some much more improved controls that we have today. And as a result, I can now see daily our on-time delivery. And if we're late on something, how many days late and why, and we go back and address the root cause. So I would -- without giving -- I don't think we've ever given those dramatic, but we are significantly better today. And I'm actually very, very proud of the on-time delivery we have today. It's improved significantly over the last 2 years, specifically over the last years that we have much better matrix to track this. And once we started tracking it, we could see it improve. And I think that also has something to do with why we are seeing an increasing amount of revenue and orders with existing customers. So again, most of our customers are small, medium pharma or the biotech. And as they have a positive experience and they can see that we can communicate and deliver on time, then it is really improves the fact that we have a reoccurring and stable customer base. So -- but I will say that we are significantly better than we were a year ago. We're not 100%, but we're striving for 100%, and we're a lot closer to it than we've ever been.
Frank James Takkinen: Got it. That's helpful. And then maybe just one last one related to cash. I heard the comment about some NHP stocking that took some cash out this quarter. I was curious if you could maybe talk to cash flow expectations going forward as some of that -- those NHPs maybe convert to revenue and what that does to your cash balance?
Robert W. Leasure: Well, I think what we will do is, if possible, we'll probably maintain a higher level of NHPs than we have in the past. We were running very thin, and I think that, that was -- and I think our customers would like to see that we had a little bit more inventory. So we now are carrying a little bit more inventory. And I think we'll continue to carry more inventory. I think as it comes to evaluating our balance sheet, we will look at this -- if this is the new normal that we want to carry in inventory.
John E. Sagartz: Yes, we could convert some of this to cash if we needed to, Frank.
Robert W. Leasure: But I think if we want this to be the new normal and when we evaluate how we want to improve our balance sheet, we may need to plan for this to be the new normal and plan accordingly. So right now, if we need to slow down the imports and slow down what we're doing, we could do that and convert it to cash. But I think what we're looking to do is make sure we have a much more stable environment to take care of our customers' needs.
Operator: And this does conclude the question-and-answer session. I'd like to turn the program back over to Bob Leasure for any closing remarks.
Robert W. Leasure: All right. Thank you. As you can tell, we're very encouraged by these results and the recent growth we've seen in our DSA business or quoting awards over the last 2 quarters. And as this growth develops, we will need to remain vigilant on delivering an exceptional experience, service and product for our clients, as I just outlined. We made progress towards achieving the financial goals we outlined during our Investor Day, and we are also -- and as I said, we're going to prioritize a strategic review of our capital structure, improving our balance sheet. As I've said in the past, we are a much better company today than we have ever been before, but we still feel like we have a plan for much further improvement in the future. So thank you very much for your time today. We look forward to talking to many of you later.
Operator: Thank you for your participation. This does conclude today's program. You may disconnect at any time.